Operator: Good day and welcome to the Creative Media & Community Trust Corporation First Quarter 2025 Earnings Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. I would now like to turn the conference over to Steve Altebrando. Please go ahead.
Steve Altebrando: Hello, everyone, and thank you for joining us. My name is Steve Altebrando, the portfolio oversight for Creative Media & Community Trust Corporation.
Steve Altebrando: Also on the call today are David Thompson, our Chief Executive Officer, and Barry Berlin, our Chief Financial Officer. This call is being webcast and will be temporarily archived on the Investor section of our website, where you can also find our earnings release. Our earnings release includes a reconciliation of non-GAAP financial measures discussed during today's call. During this call, we will make forward-looking statements. These forward-looking statements are based on the beliefs of, assumptions made by, and information currently available to us. Our actual results will be affected by known and unknown risks, trends, uncertainties, and other factors that are beyond our control or ability to predict. Although we believe our assumptions are reasonable, they are not guaranteed future performance, and some will prove to be incorrect. Therefore, actual future results can be expected to differ from our expectations, and those differences may be material. For a more detailed description of potential risks, please refer to our SEC filings, which can be found in the Investor Relations section of our website. With that, I'll turn the call over to David Thompson.
David Thompson: Thanks, Steve, and thank you everyone for joining our call today. I'd like to begin by sharing an update on the progress we've made with our strategic initiatives followed by a review of our results for the quarter. As we've discussed on previous calls, we remain focused on improving our balance sheet and liquidity, and accelerating our focus towards premier multifamily assets. With respect to the balance sheet and liquidity, we are pleased to share that we have now fully repaid and retired our recourse corporate level credit facility, a clear demonstration of the progress we've been making on our strategic initiatives. To take a step back, last September, we announced our intention to place property level financing on several of our assets with the objective of using a portion of the proceeds to fully repay and retire the recourse credit facility. When we first discussed this goal, that facility carried a balance of approximately $169 million. In April, we secured a floating rate mortgage on our creative office campus at 3601 South Congress in Austin, also known as Penfield. This financing marks the conclusion of our broader refinancing program, which we successfully completed with four financings across six properties. We achieved this in a highly challenging environment for office financing. As of today, the majority of the debt is held at the property level in the form of mortgages, and this is nonrecourse to Creative Media & Community Trust Corporation itself. In addition, we now have 12 unencumbered assets further enhancing our financial flexibility. With respect to our other main priority, growing the multifamily portion of the portfolio, including JVs, we now have four operating assets. These include 1150 Clay and Channel House in the Bay Area, and 701 South Hudson and 1902 Park Avenue in Los Angeles. Our fifth operating asset, 1915 Park in Los Angeles, will be delivered on time in the third quarter. We believe there is significant opportunity to grow our multifamily net operating income through improving occupancy and marketing rents to the current market. And lastly, we continue to actively evaluate potential asset sales with the goal of strengthening our balance sheet, improving our liquidity, and growing our portfolio of premier multifamily assets. Turning to our first quarter results, our core FFO improved by approximately $1.9 million from the prior quarter primarily due to higher net operating income and lower preferred dividends. Our net operating income increased by approximately $2.6 million from the prior quarter primarily driven by a $2.6 million improvement at our hotel. While the first half of the year is typically the strongest seasonally for our hotel, we're also seeing the clear benefits from the recently completed renovation of our hotel asset, the Sheraton Grand Sacramento. First quarter NOI of the hotel increased 15% on a year-over-year basis. Our office NOI improved by $1.9 million from the prior quarter, and we are seeing a pickup in leasing activity particularly in Los Angeles and in Austin. Our multifamily NOI decreased by $1.5 million from the prior quarter primarily due to lower occupancy in the seasonally slower winter months. Our lending NOI declined approximately $390,000 primarily due to a decrease in interest income as a result of loan payoffs, and lower interest rates. With that, I will turn it over to Steve to provide more detail on the portfolio.
Steve Altebrando: Thanks, David. I would like to provide some more details on our segments. Starting with multifamily, we continue to focus on growing our premier newer vintage multifamily portfolio. As David mentioned, we believe there is a significant opportunity to grow our multifamily net operating income through improving occupancy and increasing rents to the current market. Starting in Los Angeles, we continue to make progress on the lease-up of 701 South Hudson, the residential component of our partial office to residential conversion completed towards the end of last year. The top two floors of the property were converted into 68 high-end residential units while the Ground Floor creative office known as 4750 Wilshire remains 100% leased. The asset is located in Hancock Park, an affluent supply-constrained residential submarket of LA. Multifamily occupancy at the property reached approximately 41% at the end of the quarter, up from 22% at the year-end. We continue to make further progress in the second quarter, as our lease percentage as of early May is approximately 63%. Given recent zoning changes, we also believe there's an opportunity to develop units on the back surface lot. This potential second phase would benefit from development and operational efficiencies. For example, amenities are already built out in phase one. We believe this will be an attractive project, and we will share more details in the future as we progress through the predevelopment phase. Also in Los Angeles, we have one development underway at 1915 Park, which is a 36-unit ground-up multifamily development in Echo Park, a highly desirable walkable submarket with attractive dining and entertainment options. This development is a joint venture with an international pension fund. It's being built on land adjacent to our office building at 1910 West Sunset. We expect to begin lease-up of this asset in the third quarter. In Oakland, we saw lower occupancy through the seasonally slower winter months, but we are already beginning to see a pickup in the second quarter. As we have noted on these calls before, we continue to believe the recovery of the Oakland residential market will take some time given the broader economic headwinds and local market dynamics. One encouraging factor is the limited pipeline of new supply. Elevated construction costs have made new development increasingly difficult, which we think will benefit our completed properties. Turning to the office segment, we executed approximately 30,000 square feet of leases in the quarter, in addition to nearly 76,000 square feet of leases completed in the fourth quarter. As David mentioned, we have been seeing leasing activity pick up in LA and Austin, and we have active pipelines. Our office lease percentage was 71.4% at the end of the quarter, and when excluding our office building in Oakland, our lease percentage was 83%. Turning to our hotel, we have completed the renovation of all 500 plus rooms at our hotel asset in Sacramento. We were pleased to have a strong first quarter with net operating income improving 15% from the prior year period. We anticipate starting a renovation of the public space later this year, largely using proceeds from operations, future funding from the mortgage, and $8 million of key money we received as part of the extension of our management agreement with Marriott. We believe the asset will be very well positioned heading into 2026. With that, I'll turn the call over to Barry.
Barry Berlin: Thank you, Steve. Good morning. I'm going to spend a few minutes going over the comparative financial highlights for the first quarter of 2025 versus the first quarter of 2024, starting with our segment NOI, which was $11.8 million in the first quarter of 2025, compared to $13.6 million in the prior year comparable period. Broken down by segment, a decrease of $1.8 million was driven by decreases of $764,000 for our office properties, $1.5 million from our multifamily properties, and $199,000 from our lending business, partially offset by an increase of $622,000 NOI from our hotel property. Our office segment NOI for Q1 2025 was $7.1 million versus $7.9 million during Q1 2024. The decrease was driven by a decrease in rental revenue at our office property in Oakland, California, attributable to a decrease in occupancy resulting from a large tenant exercising a partial lease termination option. For our multifamily segment NOI, we reported an operating loss of $620,000 during Q1 2025 compared to income of $917,000 for the prior year comparable period. The decrease was primarily due to an unrealized loss on investment in real estate at one of our unconsolidated joint ventures during the first quarter of 2025. Our hotel segment NOI for Q1 2025 was $4.7 million compared to $4.1 million in the prior year comparable period. The increase was driven by an increase in occupancy and average daily rate. And our lending division NOI decreased to $590,000 from $789,000 in the prior year comparable period primarily due to a decrease in interest income as a result of loan payoffs and lower interest rates. Below the segment NOI line, we had an increase of interest expense of $1.1 million, which was driven by a higher aggregate debt balance, which was partially offset by a decrease in transaction-related costs of $664,000. Our FFO was negative $5.4 million or negative $9.42 per diluted share, compared to negative $5.9 million or negative $60.42 per diluted share in the prior year comparable period. The positive movement in our FFO was primarily driven by a decrease in preferred stock dividends of $2.3 million, a decrease in the P&L impact of both preferred stock redemptions of $506,000, and the transaction-related costs of $664,000. Partially offsetting the positive impacts to FFO for the quarter were the $1.18 million decrease in our segment NOI and the increase in interest expense of $1.1 million. Our core FFO was negative $5.1 million or negative $8.85 per diluted share compared to negative $4.4 million or negative $45.15 per diluted share in the prior year comparable period. This decrease in core FFO is attributable to the previously discussed reductions in FFO from segment NOI and interest expense. Core FFO calculations exclude reconciliation items to determine FFO, related to transactional weighted costs and preferred stock redemptions.
Barry Berlin: Finally, we completed a refinancing on our office property in Austin, Texas in early April, and used a portion of the proceeds from the new mortgage to fully pay off our credit facility, which has now been retired. And on April 15, we effected the one-for-25 reverse split of our common stock that was approved by our shareholders. With that, we can open the line for questions.
Operator: Thank you. We will now begin the question and answer session.
Operator: This will conclude our question and answer session as well as the conference call. Thank you for attending today's presentation. You may now disconnect.